Executives: Edwin J. Detrick - Vice President of Investor Relations David M. Cordani - Chief Executive Officer, President, Director and Member of Executive Committee Ralph J. Nicoletti - Chief Financial Officer and Executive Vice President Herbert A. Fritch - President of Healthspring
Analysts: Scott J. Fidel - Deutsche Bank AG, Research Division Ana Gupte - Sanford C. Bernstein & Co., LLC., Research Division Joshua R. Raskin - Barclays Capital, Research Division John F. Rex - JP Morgan Chase & Co, Research Division Justin Lake - UBS Investment Bank, Research Division Christine Arnold - Cowen and Company, LLC, Research Division Charles Andrew Boorady - Crédit Suisse AG, Research Division Carl R. McDonald - Citigroup Inc, Research Division David H. Windley - Jefferies & Company, Inc., Research Division Kevin M. Fischbeck - BofA Merrill Lynch, Research Division Peter H. Costa - Wells Fargo Securities, LLC, Research Division Christian Rigg - Susquehanna Financial Group, LLLP, Research Division
Operator: Ladies and gentlemen, thank you for standing by for Cigna's Fourth Quarter 2011 Results Review. [Operator Instructions] As a reminder, ladies and gentlemen, this conference, including the Q&A session, is being recorded and we'll begin by turning the conference over to Mr. Ted Detrick. Please go ahead, Mr. Detrick.
Edwin J. Detrick: Good morning, everyone, and thank you for joining today's call. I'm Ted Detrick, Vice President of Investor Relations. And with me this morning are David Cordani, our President and Chief Executive Officer; Ralph Nicoletti, Cigna's Chief Financial Officer; and Herb Fritch, who now leads the Seniors business for Cigna. In our remarks today, David will begin by commenting on Cigna's full year 2011 results and how our accomplishments in 2010 and 2011, as well as the acquisition of HealthSpring, position us for continued success in 2012 and beyond. Next, Ralph will review the financial results for the quarter and full year of 2011. He will also provide Cigna's financial outlook for 2012. We will then open the lines for your questions. And following our question and answer session, David will provide some brief closing remarks before we end the call. As noted in our earnings release, Cigna uses certain financial measures which are not determined in accordance with generally accepted accounting principles, or GAAP, when describing its financial results. Specifically, we use the term labeled, adjusted income from operations, as the principal measure of performance for Cigna and our operating segments. And the reconciliation of these measures to the most directly comparable GAAP measure is contained in today's earnings release, which is posted in the Investor Relations section of cigna.com.  In addition, when we discuss our 2011 Health Care financial results and specifically, our results for revenue and membership growth, as well as operating expense ratio, it will be on a basis that adjusts for our exit from non-strategic markets, most notably the Medicare Individual Private Fee for Service business. This adjustment creates a better basis of comparison for explaining our financial results. Now in our remarks today, we will be making some forward-looking comments. We would remind you that there are risk factors that could cause actual results to differ materially from our current expectations, and those risk factors are discussed in today's earnings release. Also, please note, that in addition to our earnings release and the quarterly financial supplement, we have made available on our website some additional information to facilitate your understanding of our 2011 results and the specifics of our 2012 financial outlook, which Ralph will discuss in a few moments. Now before turning the call over to David, I will cover a few items pertaining to our 2011 results and our disclosures for 2012. Regarding our results, I would note that in the fourth quarter, we recorded an after-tax charge of $31 million or $0.11 per share for transaction costs related to the HealthSpring and FirstAssist acquisition, which we report as a special item. I would remind you that special items are excluded from adjusted income from operations in today's discussion of our 2011 results and our full-year 2012 outlook. Also as previously discussed, effective January 1 2012, Cigna's adopting new guidance regarding the accounting for the deferral of certain costs related to the acquisition of new or renewal insurance contracts. This accounting change restricts the amount of cost that can be capitalized and accelerates the recognition of certain acquisition costs that previously would have been deferred. Cigna will adopt this accounting change on a retrospective basis in the first quarter of 2012, recasting prior periods and recording a one-time non-cash charge of approximately $250 million to $300 million directly to shareholders equity. The impact to recast full year 2011 results for the adoption of this new accounting guidance will be to reduce earnings for our International business by approximately $70 million after tax. We remind you that this accounting change has no impact on the fundamentals of the business. That is, there is no effect on revenues, future cash flows, our statutory capital position or the lifetime profitability of the policy. Because this accounting change is effective January 1, 2012, the impact of this change is not reflected in our 2011 results that Ralph will discuss in a few moments. However, when David and Ralph provide commentary on our 2012 outlook, it will be on the basis that assumes retrospective adoption of this accounting change with both 2011 and 2012 being recast on a comparable basis. And one last item, we announced earlier this week that we have completed the acquisition of HealthSpring, effective January 31, 2012. When we discuss our full year 2012 outlook, it will be on a basis which includes the expected results of HealthSpring as of February 1, 2012, excludes any future capital deployment and assumes break-even results for our run-off Guaranteed Minimum Death Benefits business, otherwise known as VADBe. For 2012, we will record HealthSprings' results within our Health Care segment and going forward, we will not report actual HealthSprings-specific earnings or provide an explicit financial outlook for our Seniors business, as we begin to integrate our commercial and Seniors businesses to drive revenue synergies and create improved value for our customers and clients. With that, I'll turn it over to David.
David M. Cordani: Thanks, Ted, and good morning, everyone. Before Ralph reviews our results and outlook, I'll briefly comment on Cigna's achievements in 2011, and I'll highlight our expectations for the future. First, we delivered strong revenues and earnings growth for full year 2011. Overall, these results reflect consistent execution of our growth strategy and demonstrate the value we continue to create for our customers, clients and shareholders. Most specifically, our retention, expansion and new business growth in our targeted geographies and customer segments are further evidence of our continued success. Regarding the fourth quarter, results were consistent with our expectations and reflect continued strong operating fundamentals, as well as considerable investments in our future. These include: Service in clinical staffing for the high levels and growth we are expecting for the first quarter of 2012, and increased spending on branding, technology and product development across all of our emphasized businesses. These investments will continue to support future growth opportunities and strategic positioning. Ralph will describe the financial impact of these investments in a few moments. Second, 2012 is going to be a significant year for Cigna as we continue to execute our growth strategy. Including the recently announced closing of the HealthSpring acquisition, which will accelerate our expansion into the growing U.S. Senior and Medicare markets. And lastly, we are making ongoing investments into our diversified portfolio to position us to deliver sustainable and attractive earnings growth in 2012 and beyond. So let's dive in. 2011 was a strong year for Cigna and it marks more than 2 solid years of execution of our Go Deep, Go Global and Go Individual growth strategy. For the full year, we reported the adjusted income from operations of approximately $1.4 billion and delivered earnings and EPS growth of 12%. These results reflect strong organic revenue and earnings contributions from each of our ongoing businesses: Health Care, International and our Group business, demonstrating how our solutions create value for our customers and clients in today's very challenging economic environment. For U.S. Health Care business, we delivered membership growth aided by strong client retention. Our results demonstrate that we are gaining market share in our targeted customer segment and geography. Specifically, we generated organic growth of approximately 17% in our select segment and approximately 4% in our middle-market segment. This growth continues to be predominantly in our ASO arrangements. Our highly transparent, self-funded plans enable clients to benefit from our incentive-based, integrated health and engagement solutions while retaining greater control of their health benefits spending. In our International business, we delivered revenue growth of 31% along with sustained earnings growth. This includes growth from our Individual Health, Life and Accident business and our Expatriate Benefits business, which we recently rebranded as our Global Health Benefit business, to reflect the broadening demand for our services beyond expats to include third-country nationals, key local nationals and international business travelers. In our International business, we expanded our distribution capabilities and our product portfolio with the acquisition of FirstAssist, which extends our presence in the U.K. and increases the number of Cigna affinity partners, while also adding a new travel insurance capability to our portfolio. With more than 7 million individual policies and 1 million global health care customers, Cigna's global propriety network, on-the-ground operations, established clinical models and local license space to sell in 30 countries and jurisdictions, continues to provide a meaningful competitive advantage for us. In our Disability Group business, our revenue growth and strong profitability relative to our peers demonstrates the value that clients realize from Cigna's leading disability and productivity management programs. These programs help employees return to work faster and often prevent disability-related absences from happening in the first place. Our approach helps to improve the quality of life for individuals, increases workforce productivity and generates cost-savings for our clients and customers. Looking into 2012, Cigna is well positioned with our differentiated balance portfolio of businesses to deliver competitively attractive growth prospects. This includes our U.S. commercial business, where we continue to expect to deliver strong organic growth, our International business, with strong top line and earnings growth in excess of 20%, and the expansion into our Seniors and Medicare business, where the acquisition of HealthSpring is expected to be accretive in 2012, and highly accretive on a cash basis. It is clear that the U.S. Health Care market place remains volatile and competitive. However, we are succeeding in expanding our existing client relationships and winning new clients who are focused on improving the health of their employee population and their total cost position. As a result, we expect to deliver significant customer growth in 2012. Specifically, we now expect to add approximately 500,000 new commercial Health Care customers in 2012. This membership expansion is a direct result of repositioning our national account business and sustained growth in our select and middle-market customer segments. We will continue to deliver on the fundamentals that our clients have come to expect from Cigna: Service excellence, leading engagement and incentive-based programs that provide high clinical quality and lower health care costs, all while continuing to maintain disciplined underwriting and pricing standards. As we've noted before, private and public health service delivery models will continue to evolve regardless of how health care legislation unfolds. In this environment, greater focus on health improvement and individual engagement in quality align very well with our strategy and capabilities. Let me touch on just a few examples. Our customer-centric model is anchored in a consultative sales approach with integrated health and productivity solutions designed to meet each client's unique cultural and workforce health profile. Our new brand launched last fall underscores our focus on the individual and offers highly personalized service experience that is accessible and personally relevant. This approach is being well received by clients who are seeking to maintain a healthier, more productive workforce, by physicians who are striving to improve health outcomes for their patients and by individuals who want greater personalization and value for their investment. A good indicator of this shift, to individual engagement, is the double-digit growth in consumer-directed health plans that our industry is seeing, while membership is declining in traditional HMO and PPOs here in the U.S. Cigna was at the forefront of this transition, investing in and repositioning our customer engagement capabilities long before this market shift occurred. In 2011, our growth for consumer-directed plans was 35%, more than double the industry average. It is clear that our value proposition is resonating and we expect to continue to see growth in these plans in 2012. An addition, we will also continue to drive innovation with Accountable Care Organizations by focusing on creating stronger engagement in care coordination between physicians and their patients through actionable information, assistance and incentives. Cigna now has 17 of these patient center initiatives, with more than 1,800 primary care physicians spanning across 15 states. With HealthSpring, we greatly enhance our capabilities to serve seniors and partner with physicians. HealthSpring offers a unique and proven physician partnering model based on effective engagement, highly targeted data exchanges, integrated care coordination programs and aligned incentives to help patients be healthier, enjoy a better quality of life and lower their overall health care costs. Herb and I have visited most of the key HealthSpring markets during the last few months. Feedback from HealthSpring's physician partners and employees has been very positive. Visits to HealthSpring's LivingWell Centers provided me a first-hand view into the outstanding service HealthSpring customers are receiving. It is clear that together, Cigna and HealthSpring can deliver greater value for our customers throughout all stages of health and life. In short, Cigna's success with customer and physician alignment in the commercial segment, along with HealthSpring's proven approach in the Seniors market, creates a complementary platform and positions for attractive future growth.  Looking ahead to 2013 and beyond, Cigna is positioned for a strong future with several engines to deliver competitively attractive growth. These include our highly focused U.S. commercial business, where we are seeing increased demand for our health and productivity improvement capabilities. Our strong client retention and new client wins demonstrate we are gaining market share from companies who are seeking to improve their employees' health and lower their total cost. We expect to drive growth in the mid-single digits as we look to the future. In our International business, where we are experiencing elevated demand for health solutions to serve globally mobile individuals, and increasing opportunities created by the growing middle class and emerging markets. We are continuously evaluating opportunities to expand our International distribution capabilities and product portfolio, as well as invest in new markets where there is demand for our services. We made meaningful organic investments in our future with the opening of operations in Turkey, and establishing our joint venture with the TTK Group, to offer health, wellness and insurance products in India. We are now selling in Turkey and expect to begin selling in India in 2013, following regulatory approval. Our Seniors and Medicare business where growth opportunities are increasing due to the aging population, eroding health status, and evolution of business models to improve quality and cost outcomes by engaging and incentivizing physicians. As we move forward, we plan to expand HealthSpring's sufferings beyond their current markets to leverage Cigna's broader U.S. footprint, including establish relationships with physicians and hospitals. We also plan to extend the value of HealthSpring's physician engagement model by developing new commercial offerings. By leveraging Cigna's and HealthSpring's combined capabilities, we expect to deliver continued growth by extending our health solutions across the government, employer-sponsored and individual consumer segments. Taken together, we continue to expect to deliver 10% to 13% EPS growth over the next 3 to 5 years. Now before I turn it over to Ralph, let me just re-emphasize a few points. Our full year 2011 results reflect significant revenue and earnings contributions from each of our ongoing businesses, balanced with strategic investments that position us for the future. I am pleased with our continued progress in executing our growth strategy, and our results reflect the dedication and commitment of the more than 30,000 Cigna colleagues around the world who are working to improve the health, well-being and sense of security of our nearly 70 million customer relationships. The milestones we have reached and the steps we will take this year provide us with the opportunity to deliver sustained growth in 2012 and beyond. And finally, I believe our 2012 outlook represents a competitively attractive result and we are positioned for long-term sustainable growth.  With that, I'll turn the call over to Ralph.
Ralph J. Nicoletti: Thanks, David. Good morning, everyone. In my remarks today, I will review Cigna's full year 2011 results and also discuss our outlook for the full year 2012, including contributions from the HealthSpring acquisition. In my review of consolidated and segment results, I will comment on adjusted income from operations. This is also the basis on which I'll provide our earnings outlook. We had a very strong 2011, driven by effective execution of our strategy and are carrying solid momentum into this year. Our 2011 results include several key accomplishments, specifically top line growth for each of our targeted businesses, attractive organic membership growth in our targeted markets, Health Care earnings growth of 15%, International earnings growth of 19%, earnings per share growth of 12%, just to name a few. Our fourth quarter results were in line with our expectation, and we generated strong overall revenue and earnings contributions while making significant strategic investments in capabilities in each of our businesses. Our full year 2011 consolidated revenues were $22 billion. Revenues reflect growth in premium and fees of 6% in Health Care, 32% in International and 4% in Group Disability and Life, driven by continued success in our targeted customer segments. Full year consolidated earnings for 2011 were $1.43 billion, compared to $1.28 billion in 2010. Earnings per share for 2011 was $5.21 per share, a 12% increase over 2010, reflecting strong earnings from each of our ongoing businesses. Our 2011 earnings per share were $5.24, adjusting for the dilution of approximately $0.03 per share related to the shares issued in the fourth quarter for the HealthSpring acquisition. Turning to Health Care. 2011 premiums and fees grew to $13.2 billion, representing a 6% increase from 2010. Full year Health Care earnings were $990 million and reflect contributions from sustained growth in our medical and specialty businesses, as well as the impact of favorable prior year development. Importantly, we have increased our spending on strategic investments in the fourth quarter in branding and technology to support future growth in membership and capabilities. These increased investments amounted to $40 million before tax or approximately $0.09 a share on an after-tax basis. We ended 2011 with 11.5 million Health Care members, which is approximately 2% higher than year end 2010. As David noted, our membership growth is aligned with our Go Deep strategy with the particularly strong results in our middle-market and select segments, where we offer clients differentiated funding alternatives and product solutions through a consultative and incentive-based approach. Now turning to medical cost, in 2011, we achieved a competitively attractive commercial, medical cost trend of approximately 5% for our total book of business. I would remind you that approximately 90% of our customers are in funding arrangements were they directly benefit from these medical trend results. Across our risk book of business, our fourth quarter earnings include: Favorable prior period claim development of $24 million after-tax. For the full year 2011, the impact of favorable prior year claim development was $53 million after-tax, including a negligible amount in the fourth quarter. Specific to commercial guaranteed costs, our full year 2011 medical care ratio or MCR was 79.7% on a reported basis. Excluding prior year claim development, the commercial guaranteed costs, MCR for 2011 was 80.9%, including the effect of our rebate accrual. Overall, we are pleased with our results in our medical risk business as they continually reflect good pricing and underwriting discipline, as well as sustained clinical quality for our clients and customers. For the full year 2011, total operating expense ratio was 27.2%, which is a 50 basis-point improvement over the 2010 expense ratio. Now, I will discuss the results in our other segments. Cigna's International business continues to deliver attractive growth and profitability. The results reflect strong retention and further product penetration of existing customers, as well as targeted new sales. Premiums and fees for 2011, totaled $3 billion, up 32% year-over-year, driven by strong customer retention and growth within our Health, Life and Accident business and our Global Health Benefits business. Our top line growth drove earnings of $289 million in 2011, which represents a strong 19% increase over 2010. Full year results were driven by strong customer retention and growth in Health, Life and Accident and Global Health Benefits businesses, partially offset by an elevated MCR in our Global Health Benefits business, in part due to business mix, as well as higher spending on strategic initiatives. Our earnings in the fourth quarter were consistent with our expectations and demonstrate continued success in the marketplace. These results reflect solid top and bottom line growth, partially offset by continued strategic investments for future growth, some costs to streamline operation and unfavorable changes in foreign tax law. All totaling approximately $10 million after-tax or about $0.03 a share. In our Group Disability and Life segment, premiums and fees for 2011 were $2.8 billion. Group premium and fees increased 4%, including 9% growth in our targeted Disability business. Full year 2011 earnings were $282 million, which was in line with our expectation and a good result in the challenging economic environment. We continue to deliver value through our market-leading Disability and Productivity Management model, which focuses on early customer engagement and leverages Cigna's proven clinical capabilities. Full year 2011 earnings also reflect favorable Life and Accident experience, partially offset by higher disability claims, as well as the impact of strategic investments. Finally, I would remind you that fourth quarter 2010 earnings included an after-tax gain of $11 million from the sale of a workers' compensation and case management business. Results for our remaining operations including Run-off Reinsurance, Other Operations and Corporate, total to an after-tax loss of $133 million for the full year 2011. The full year 2011 results includes the third quarter reserves strengthening related to our run-off VADBe book of business. No additional VADBe reserve strengthening was required in the fourth quarter. Overall, our 2011 results reflect strong revenue and earnings contributions from each of our ongoing businesses and these businesses continue to generate significant free cash flow. Turning to our investment portfolio. We're pleased with our results in 2011. For the full year, we recognized net-realized investment gains of $41 million after-tax, coupled with strong net investment income results. Our commercial mortgage loan portfolio continues to perform well within a challenging economic environment. And overall, we continue to be pleased with the quality and diversification of our investment portfolio. Our strong investment management capabilities and disciplined approach to risk management have delivered solid results.  Before turning to our 2012 outlook, I'll now provide an update regarding our acquisition of HealthSpring. We are pleased to announce this week that we closed the transaction on January 31, a very good outcome from a timing perspective. We have been engaged with HealthSpring management -- with the HealthSpring management team on integration, and plans to recognize significant growth opportunities as well as cost efficiencies over time. Consistent with our previous discussions, we expect the acquisition to be earnings accretive in the first full year and highly accretive on a cash basis. I'll provide some color on the expected HealthSpring contributions in my discussion on the 2012 outlook.  So now turning to 2012. We're carrying solid momentum into the year from strong membership-driven revenue growth, earnings growth off a strong 2011 and strategic investments that could provide sustained growth into the future, most significantly the HealthSpring acquisition. This outlook reflects our expectation that the global economic conditions will remain challenging and that the U.S. unemployment rate remains essentially unchanged. Based on our current view, for the full year 2012, we expect consolidated adjusted income from operations of $1.46 billion to $1.57 billion and EPS of $5 to $5.40 per share, reflecting continued, strong underlying results in each of our ongoing businesses. Adjusted for reserve -- adjusted for prior year reserve development and VADBe reserve strengthening, this represents growth of 2% to 10% in earnings per share over 2011. I would remind you that consistent with our prior practices, our outlook excludes any contribution from future reserve development or capital deployment. For our Health Care business, including the impact of HealthSpring, we expect full year 2011 -- 2012 earnings in the range of $1.12 billion to $1.19 billion compared to 2011 results of $937 million excluding prior year claim development. This outlook reflects continued benefits from customer-driven revenue growth, specialty contribution and operating expense leverage. I'll now summarize some of the key assumptions reflected in our Health Care earnings outlook for 2012, starting with membership. We anticipate full year 2012 membership growth of approximately 900,000, driven by organic growth and the addition of customers through the HealthSpring acquisition. We expect government medical membership to grow by approximately 400,000. HealthSpring added 365,000 Medicare Advantage customers at the acquisition date, and we expect some additional Medicare Advantage and Medicaid membership growth during the year. We expect commercial medical membership to grow by approximately 500,000, which is higher than what we had previously discussed. This growth is across all our targeted market segments and essentially all in our ASO funding arrangement. We expect the majority of that growth to be delivered in the first quarter. Turning to medical cost. Our outlook assumes an increase in medical services utilization during 2012. For our total commercial book of business, we expect full year medical cost trend to be in the range of 6% to 7%, which is above the amounts we realized in 2011. These expected medical costs have been reflected in our pricing for 2012. Based on these factors and changing business mix, we would expect the full year MCR to be in the range of 81% to 82% for our commercial guaranteed book of business, which is approximately 50 basis points higher than the full year 2011 results, excluding prior year development. Our Medicare Advantage MCR for the full year is expected to be in the range of 81.5% to 82.5%. Regarding operating expenses for full year 2012, we expect the total Health Care operating expense ratio to be in the range of 22.5% to 23.5%, based on our current outlook for membership growth and business mix. Pulling the pieces together, we expect full year 2012 Health Care earnings, including HealthSpring, to be in the range of $1.12 billion to $1.19 billion. We expect HealthSpring to contribute $160 million to $180 million to Health Care segment earnings, excluding transaction costs that will be reported as a special item. The 2012 earnings contribution from HealthSpring reflects approximately $130 million after-tax or $0.45 per share for depreciation and an amortization expense. This acquisition has significant strategic value and is immediately accretive. And in addition, on a cash basis, we expect to realize approximately 10% accretion in 2012. Now moving to the other components of our outlook. For our International business, we expect continued strong top line growth and earnings in the range of $265 million to $285 million, which represents continued attractive growth on top of the strong 2011 earnings of $219 million, adjusted for their required accounting change for deferred acquisition costs adopted in 2012. This outlook reflects continued strength in both our Health, Life and Accident and Global Health Benefits businesses. The outlook also includes the impact of increased investments and new market expansion, as well as ongoing contributions from the Vanbreda acquisition. Regarding Vanbreda, while we saw better-than-expected earnings in -- earnings contributions in 2011 associated with this acquisition, we estimate that the earnings contributions in 2012 will be consistent with 2011, which is less than our original expectation due in part to competitive pricing pressures, as well as a lower level of internalization of the insurance underwriting for some of our clients. We continue to view the strategic rationale and long-term growth opportunities for this business as attractive. Importantly, overall, we expect International earnings growth of 21% to 30% for 2012, with growth in both our Health, Life and Accident and Global Health Benefits businesses. For our Group Disability and Life business, we expect full year 2012 earnings in the range of $260 million to $280 million, which reflects the competitively attractive result in a continued challenging economic environment. This outlook for Group assumes revenue growth for both our Disability and Life books and strong execution of our Disability Management model, as well as increased investment in customer-facing capabilities. Regarding our remaining operations, including Run-off Reinsurance, Other Operations and Corporate, we expect a loss of $185 million for 2012, inclusive of additional interest expense of approximately $55 million after-tax, associated with the incremental debt issued to finance the HealthSpring acquisition. So all in for 2012, we expect consolidated adjusted income from operations of $1.46 billion to $1.57 billion and consolidated EPS in the range of $5 to $5.40 a share. I'll now discuss our capital management position and outlook. Overall, we continue to have good financial flexibility as our subsidiaries remain well-capitalized and are generating significant free cash flow to the parent, reflecting the strong return on capital in each of our ongoing businesses. Regarding the HealthSpring acquisition, we have put in place a financing structure that allows us to maintain good financial flexibility. We ended 2011 with parent company cash of approximately $3.8 billion, which was used to fund the HealthSpring acquisition. And for the full year 2012, we expect some subsidiary dividends of approximately $1.3 billion. After funding the HealthSpring acquisition, as well as other sources and uses of capital in 2012, this outlook indicates that we would have approximately $900 million available for deployment. Approximately, half of which we would intend to hold for capital flexibility at the parent. Overall, our capital position and outlook remains strong. And our capital deployment strategy and priorities remain unchanged. We will provide capital necessary to support the growth of our ongoing operations, as well as supporting our pension plan and Run-off Reinsurance business. We will pursue M&A activity with focus on acquiring capabilities and scale to further grow in our targeted areas in -- of focus, and after considering these first 2 items, we would return capital to shareholders primarily through share repurchase. I would remind you that we executed on each of these in 2011. So now to recap. Our full year 2011 consolidated results reflect the strength of our global diversified portfolio of businesses and effective execution of our focused growth strategy with solid growth in our targeted customer segments. We expect the momentum from our 2011 results will position us well for strong growth in 2012, highlighted by strong revenue growth, as well as attractive customer growth. Earnings growth off of a strong 2011, EPS growth with the opportunity for [indiscernible] deployment, positive impact from the HealthSpring acquisition and targeted strategic investments which provide sustained growth into the future. We will now turn it over to the operator for the Q&A portion of the call.
Operator: [Operator Instructions]. Our first question will come from Scott Fidel with Deutsche Bank.
Scott J. Fidel - Deutsche Bank AG, Research Division: First question, maybe if you can share some views on the revenue outlook for 2012, maybe a consolidated revenue view and then maybe some guidance around what you're expecting for the Health Care business?
David M. Cordani: Scott, it's David. I'll start. Obviously, we didn't walk through the detailed quantification of the revenue outlook. If you take the comments that I made and Ralph made, we expect to have strong retention and good client adds throughout the -- throughout all of our businesses. So we had good revenue growth, very importantly, in the specific geographies and buying segments. I'll comment specifically on Health Care and see if Ralph wants to add, but within the Health Care business, we stepped out of 2011 with net -- a growth of about 2% in terms of new customers or individualized recovering. Stepping into 2012, as we noted in our prepared remarks, we've increased our outlook from at least 400,000 to 500,000 commercial lives. And what's exciting about that is, one, the vast majority of that will show up in the first quarter, two, it's heavily oriented to the ASO business portfolio, with a lot of engagement and incentive-based programs that are attached to it, and three, there's some good balance and symmetry in all of our operating segments, the national segment's contribution, the middle-market segment contribution and the select segment. So we feel good about both the quality and I'll call location, both segments and geographies for our revenue growth. Ralph, would you add anything to that?
Ralph J. Nicoletti: Maybe I think -- maybe all I can just add is, within the Health Care segment on our guaranteed portion of the business, which is a smaller percentage of the total, there is some pricing in there to the cost trend as well, so that we play through the revenue, with no change to the medical cost ratio net. So there's a little bit of revenue lift just from the small part of our guaranteed book. And I think just overall, I think you could think of it as in the long term, we look at this business growing, in mid-single digits on the revenue line, and we certainly are putting a great step in that direction this year.
Scott J. Fidel - Deutsche Bank AG, Research Division: Okay, and then I just wanted to ask a follow-up question on the DNA expense guidance, and maybe if you -- walk us through the accounting treatment that you're using for that? And then what you expect for DNA expense in the out years? I think you're using a declining balance approach, so should that start to come down? Or do you expect that to be similar in, let's say, '13?
David M. Cordani: Sure. Clearly the earnings contribution from HealthSpring is affected by amortization. I had mentioned in my remarks, it's about $130 million after-tax. The valuation is still being finalized by some outside experts, but this is a pretty good estimate. And in the phasing of the amortization is, as you point out, skewed early -- to the early years. So what we would expect to see over the next several years is about a 10% to 15% decline in the level off of this year, over the next several years, and then you begin to see it level out.
Operator: We'll go next to Ana Gupte with Sanford Bernstein.
Ana Gupte - Sanford C. Bernstein & Co., LLC., Research Division: I wanted to follow up on your commercial guaranteed cost results for the quarter. So it's -- I mean, it's not terrible by any means, but that being said, Aetna came up pretty clearly saying that utilization's low. And your days and claims payable seem to have trended down significantly. And it certainly wasn't anything to write home about in terms of the beat. So I'm trying to understand what exactly is causing a result that's in line to probably slightly worse than even your own expectations? Is it seasonality? And is it MLR? So did you accrue later? I understand you have a different methodology, or are you seeing anything to do with pricing? One of your competitors says you're underpricing doesn't show up in your premium yields. Or is it trend?
Ralph J. Nicoletti: Ana, it's Ralph. First, there's a lot of moving parts in all this. So let me, in a couple of parts to your question. First, overall, we came in at where we expected. And in the first -- just to remind you on our guaranteed cost of book of business, again, a small piece of our total portfolio, but having said that, came in as we expected. Essentially, you're a year flat. Also, what you see -- back on the comment you made on the payable, there's some noise in there because we exited the Private Fee for Service business and so as those liabilities ran out, you see a reduction in those liabilities. So when you strip that out, it's a fairly even level year-to-year. So that has some noise in the numbers looking year-on-year. And then I think, also importantly, in the fourth quarter you see a jump year-on-year, quarter-on-quarter. Again, full year, it's essentially where we expected, essentially flat. In the quarter, you see a big jump. Because just the prior period development flow into the fourth quarter of 2010 was significantly higher than the flow of prior period development on our guaranteed cost book of business in the fourth quarter this year. So there was about a 400 basis-point swing, and it's all because of that. So absent the change in the prior period flow, we're essentially flat year-on-year.
Ana Gupte - Sanford C. Bernstein & Co., LLC., Research Division: Okay, so follow-up on that. It sounds like pricing, and my math tells me it's okay. Days and claims payable, you're attributing it to pricing. And then the MLR largely to a reserve headwind. Going forward, can you tell us what your -- is being embedded in your outlook for Health Care in terms of your cost trend? And would you be able to highlight the puts and takes in terms of the tailwinds from possibly unit costs, the reform provisions, which are one-time, and then possible headwinds from COBRA which you don't see now, utilization if you're seeing, or -- and what exactly are you embedding in your expectations?
David M. Cordani: Ana, it's David. Just -- I'll start and ask Ralph to embellish on the trend piece. But as you started your second part of your question, your headline is right. The pricing, the underlying medical cost trend, and as Ralph said, the net result for 2011 is in line with our expectations. We feel good about it. And to be very clear, we don't see any pricing issue relative to that small book of business. Secondly, in Ralph's prepared remarks, you referenced approximately 5% medical cost trend for 2011. We feel good about that. We've referenced an uptick in that medical cost trend going into 2012. That is predominant utilization-oriented, as we're making assumptions that utilization will escalate off the lower levels that exist today. To your question, what pricing for that? So pricing for that in our assumption is that we move forward within our book of business, and to the extent it doesn't manifest itself or manifest itself more slowly, we'll see that in our results as we go forward. Last thing I'll say, is the rate execution that we have with our physician-hospital partners were -- at 2012 is also in line with our expectations. A meaningful amount of the large contracts are entered into in the first quarter of the year. And our team's doing a good job in terms of partnering with physicians and hospitals in terms of revenue management for them, administrative cost savings, et cetera. So that basic rate execution is in line with our expectations and we've had several years of consistency around that. So headline is, comfortable with the pricing for '11, comfortable with the pricing for '12. We feel good about the medical trend we'd delivered in aggregate for our book of business in '11. Step off into 2012, is in line with our expectations, and our rate execution from a contracting standpoint is in line with our expectations. And it's the third year of consistency for us. Ralph, any more color on the medical cost trend assumptions?
Ralph J. Nicoletti: No. I mean, essentially for '12, even to this year, essentially, Ana, there may be some wiggle in there because of mix that runs through. But essentially to David's point, we're pricing to where the trend is, so you'd expect a fairly even level year-to-year on ratio.
Ana Gupte - Sanford C. Bernstein & Co., LLC., Research Division: So they said to conclude then that, there is some upside to your Health Care guidance, assuming the low levels of utilization that currently persist. They remain throughout the year because you're pricing for something that's above what you're seeing now?
Ralph J. Nicoletti: Yes, I mean you can obviously have to draw your conclusion, but as we tried to lay out in our prepared remarks, really there's 2 things relative to that point that we try to be very clear on. One, it's our practice and we're consistent with we do not put any assumption for reserve development in our future years. So that's held out and anything that transpires, we have transparence and clarity. Two, we've projected for an uptick in utilization. You see the trend numbers we've talked about, we've priced for that. And to your conclusion, to the extent it manifests itself at a slower or different rate, they'll be both contribution to our clients and customers and some contribution for our shareholders.
Operator: [Operator Instructions]. And at this time, we will go to Josh Raskin with Barclays Capital.
Joshua R. Raskin - Barclays Capital, Research Division: I guess my question just talks about the guidance, just broadly speaking for 2012. It sounds like membership is probably coming in a little bit better than your long-term expectation. You're talking about HealthSpring being accretive. And it sounds like additional cash potentially. It's better and yet -- the guidance is at best kind of 2% to 10% EPS growth and you're talking about 10% to 13% long-term. So how do we think about 2010 as being a bad year -- I'm sorry, 2012 being a bad year, relative to sort of that long-term 10% to 13%?
David M. Cordani: It's David. We view 2012 as a good year and so let me put context around it. And importantly, I want to start from where your question did, the market place, the market demand. When we look at '12, '13 and beyond, we continue to shift back here in the U.S. of the orientation of buyers around the health and productivity focus, the orientation around the movement around incentive, engagement-based programs, both for the consumer, client-driven, but also increasingly, in terms of physician partnership. And then the increasing demand for the transparent programs that we offer, whether it's ASO or experience-rated. Outside the U.S., the palpable, continued growth of the middle class in emerging markets and our physicians, and the growth of the globally mobile, all bode well for us as we look to buying trends. So to your point, we feel good about the top line positioning both in terms of what we're stepping out of '11 and into '12 with in the U.S. and outside the U.S. As we look at our '12 guidance, our '12 guidance has a variety of things that we assume in it. First and foremost, as we referenced, Ralph and I referenced, there's no capital deployment in the way we build up our assumption. There's no reserve development in the way we build up our assumption. We're stepping into the year with the 500,000 customers in the U.S. Health Care business, and sustained growth in our International business. We have 11 months of contribution from HealthSpring, and as Ralph also articulated, we have a first year upward skewing of the amortization that comes along with that. And within taking all of that into consideration, plus the full year of financing, we have an outlook that is in the 2% to 10% range. And if you bookend that with '11 and the directional comments I made for '13, the 10% to 13% is a multi-year. It's not a year-in, year-out. It's a multi-year view, and we're making investments and strategic positioning in the company to make sure we can continue to deliver that. So we view '12 as a good year. We view '11 as a good year. And we're quite excited about setting up an even more attractive year to look to '13.
Joshua R. Raskin - Barclays Capital, Research Division: So maybe let me ask it a different way. So 2012 is a good year, one in which you're getting HealthSpring -- and I think you will be probably very helpful if you can give an EPS number in terms of the accretion from Health, on top of this. But it sounds like, 10 to 13 long-term is predicated on this additional growth, which sounds like, that's not lacking in 2012, you're certainly seeing that. And like I said, it sounds like HealthSpring's accretive. So, I'm just curious how you get from a good year in '12, hitting 2 to 10, to a long-term average of 10 to 13.
David M. Cordani: Sure. Josh, I'll try to give it to you in a macro level, and there's a couple of supplemental pieces of information we tried to help, as Ted noted, in the advanced materials. But then I'll ask Ralph to expand on the HealthSpring, specifically. But at the end of the day, consistent with what we've talked with you all about in our Investor Days and otherwise, as we look forward, we see the U.S. commercial business, with focus of delivering sustained mid-single digit revenue growth opportunities with somewhat above that in terms of earnings growth. We see the Medicare and Seniors space delivering high single, low double-digit growth in our earnings opportunities. And we see the International business continuing to deliver mid- to upper teens delivery results on a growth basis, and then, as we've talked about, before we have the additional capital deployment that would come off of our free cash flow. So it's the combination of those 2 that come together, the organic contribution with the balance in our portfolio of the U.S., to the Seniors and then the International business with ongoing capital deployment that steps us up as we go forward.  Ralph, if I could ask you just to highlight the kind of EPS in-year on HealthSpring? I think that would be helpful.
Ralph J. Nicoletti: Sure, and Joshua, as David mentioned, too, we had -- and Ted, we had a slide and that we posted on the website that helps -- would help bring some clarity to this, too, beyond our speaking points. A couple of things, one, when you look at the earnings outlook for HealthSpring, which we put in a range of $160 million to $180 million. On an accretion basis, that would be $0.03 to $0.10 per share, accretive. And then when you add back the amortization, which we pointed out was skewed to the early years here, it would bring us to 10% cash EPS accretion. So immediate accretion, coming right into the first year. And then beyond that, as we think about it, there are some other things. There's another month coming through, there's only 11 months out of '12. The amortization does pare down over time as we pointed out. And then also, the build of cost and revenue synergies and growth opportunities are really out ahead of us, beyond 2012. So I think the opportunity for additional accretion and value creation is really going well beyond 2012. But the good news is, we're immediately accretive right out of the gate.
Operator: We'll go next to John Rex with JPMorgan.
John F. Rex - JP Morgan Chase & Co, Research Division: I'm going to continue in kind of the same path here. So I just want to focus exclusively on the Health segment, and for a moment, I want to focus on the legacy Health segment, so x HealthSpring. So I mean, it looks like -- so, let's take out the favorable development midpoint guidance, it would look for about 5% operating's growth, is that correct?
David M. Cordani: That's about right.
John F. Rex - JP Morgan Chase & Co, Research Division: Okay, so wouldn't you characterize this, as I mean, this isn't just -- this is a really good year for enrollment gains for you. I wouldn't expect every year to trend, I mean, hopefully it will, but I wouldn't expect every year to trend this well. And help me understand why we're delivering so little to the bottom line in terms of impact for what should be kind of a very kind of low variable cost to add here? And then -- and the issue being so we're kind of that -- what you talked about kind of midpoint long-term earnings growth for this segment in what seems to be like a very good enrollment year?
David M. Cordani: John, let me just try to frame that broadly. When you look at first year, I think if you take the 5% and you look at the 500,000 lives we're talking about, you can kind of correlate the 2, and you're saying, well, where's the margin expansion? One, I think you know and recognize that when you have first year contribution of lives, there's cost to setting up those lives, bringing those lives on board, et cetera. So we're building a future annuity. And we're building a high quality future annuity if you like. Secondly, we've been very clear. We're continuing to make very targeted investments in the business, and we'll continue to make those investments. We've expanded our brand spending. We're expanding some capability builds, and we're making trade-offs around that. And that both presents a headwind and a tailwind opportunity for the rate and pace of the investments we'll make relative to that. And finally, consistent with my answers to Ana before, we were making estimation that there's going to be some uptick in medical cost trend as we go forward. So we think the estimate on the page is a prudent estimate, and it's an estimate that's based upon both the underlying earnings power, stepping off a very strong 2011, as you said with or without the reserve development, good organic growth. Very importantly, we're choosing to invest back in the business. And we will guide the rate and pace of that as we look on the fundamentals. But we've boded well in terms of yields from that. We'll continue to make those investments as we look into the future.
John F. Rex - JP Morgan Chase & Co, Research Division: And maybe sizes, some of the rates -- how would you characterize kind of those incremental investments, so we can kind of think about what headwind they're creating? I guess just kind a follow on that also is, are there integration costs that are meaningful or not, that are being incorporated in the outlook also? So that is HealthSpring integration cost that would not recur in the out year?
David M. Cordani: Ralph, on the integration costs?
Ralph J. Nicoletti: This -- in 2012, there are some, but not that significant. And I would say, while we don't obviously have the plan forward beyond '12 fully laid out, I think you'd expect '12, '13 to be relatively even in the amount of integration costs that flow in both of those years.
John F. Rex - JP Morgan Chase & Co, Research Division: Can you size those Ralph?
Ralph J. Nicoletti: I'd rather not at this time because we really just closed the transaction. They're kind of formulating those plans. But I think importantly, the tailwinds on this are clearly you have the synergies, both cost and revenue growth-oriented, really all outside of 2012. So those will really be coming to 2013 and beyond. And there's very little if any in 2012. And then you have the benefit as we talked about of the timing items of the additional month and the amortization skew.
David M. Cordani: John, on the first part of your question, and as you'd expect, I'm not going to give you a pinpoint answer. But your question was to step up investments and versus the 5%. You can think about several points of discretion that we're taking in terms of redeploying operating earnings back into the business, above and beyond the historic run rate. And we'll make trade-offs. So back your typical question of headwinds and tailwinds, we've demonstrated over the last couple of years that we'll make trade-offs relative to the rate and pace of those investments, be they technology, geography, brand capability build out, but we'll continue to do so because we're running the business for the long term.
John F. Rex - JP Morgan Chase & Co, Research Division: Okay, and then there's one kind of broad thing, across your book in your outlook for 150 basis points step up in trend, have you seen any evidence that utilization patterns have changed from what you saw exiting -- from what you saw on the 4Q, essentially?
Ralph J. Nicoletti: No, we haven't at this point.
Operator: We'll go next to Justin Lake with UBS.
Justin Lake - UBS Investment Bank, Research Division: First off, I was hoping you could walk us through the pressure on the Disability business in the fourth quarter? And what are the moving parts embedded for 2012 in terms of the reserves, maybe reserves like the benefits from '11 that I might be forgetting, that won't reoccur any expectation of -- what would be embedded for an expectation of those higher fourth quarter costs trending into '12?
Ralph J. Nicoletti: Just, I'll take that one. In terms of the fourth quarter, I think a couple of points I'd want to make. One, is that importantly, in a year ago in the fourth quarter, we had a gain of about $11 million from the sale of the Intercore business. So that's affecting the comparison. But having said that, even if you would adjust for that, earnings were slightly down in the quarter year-on-year. And what we're seeing there is some favorable claims experience, continuing on the Life side of the business, continuing increase -- I wouldn't say at a higher rate, but at the similar rate that we've been seeing in the back half of this year on the Disability side of the business, which is offsetting some of the favorable Life side. And we continue to make investments on both systems and then kind of capabilities in terms of case management and being able to work with our clients and customers on early engagement and managing through for better outcomes, which ultimately, over time is going to play out to improving disability trends, which we've seen in the past. So those pieces are all moving and that's why you see, the -- even after adjusting for the gain in last year, a slight decline in the Group earnings. Then when you move into 2012 -- here as we said, we're on a macro basis, our assumption is that we're going to be in a continued difficult economic environment. And on that basis, we're expecting to see some of the pressure on the disability claims side continue, and in a more even level of, I would call, continued good performance on the Life side, so we're not necessarily getting earnings lift, but we're continuing to see good performance there. And then making some year-on-year modest investments. So that's why you see the range that we put out there to be even-to-slightly down relative to this year's results. And this year, we're exiting with we think the appropriate level reserves on the balance sheet, and we're comfortable how that's been set up given the experience we've seen.
Justin Lake - UBS Investment Bank, Research Division: Okay, great. And just to follow up here. On the other operating cost line, I see in Health Care you spent about $100 million this year on individual market expansion. And I'm just wondering, what is the return there, given I know that hasn't been a huge business for you historically in terms of profit? And then what do you see that becoming? And if you look ahead and we think 2013, if you look, it might have some lower costs and therefore, from HealthSpring you might have an accelerating year there, are we going to see further investment? And if so, on what other segments might you be spending -- looking to spend some dollars?
David M. Cordani: It's David. So let me just frame that and then answer the specific question. First is, I think we have a very successful individual franchise outside the U.S. and I want to just touch on the key strength there because it converts over to some of the U.S. direction. So our key strength there is really market segmentation and targeted needs identification, down to micro-segments, product development and innovation, and then the multi-channel distribution, be it telemarketing, Internet distribution, DirecTV. Back here in the U.S., the line you're talking about, over the last 2 years we've been driving some very targeted pilots in the individual primary space. To drive some targeted growth, we wanted to target about 100,000 lives or so over a couple of years, which we did in some specific geographies and test some innovation, product design, underwriting approaches, seeing the change in regulatory environment, some micro sub-segmentations, some different distribution channel approach. Yes, we did broker an agent, but we did distribution outside that. And we're able to grab some very good learnings from a profitability or drain standpoint. The loss ratios are in line with our expectations. It's a sub-scale business so the expense ratio is not where you'd want it to be for a long -- on a long-term basis. Lastly, it bridges back to your comment. One of the things we're quite excited about with HealthSpring is in Health Care, especially individual Health Care is so local, the ability to use their, what we call, physician-directed network approach and physician-directed partnership approach to offer very targeted commercial offerings for individuals as we go forward, and we're going to seek to build on that. None of that is built into our 2012 estimation as Ralph mentioned. Revenue growth and profitability synergies are broadly 13 and beyond. But we will build on that. So what you're seeing in the expenses is the underlying operations for that, about 100,000 lives. There will be a little bit more growth to that as we target -- play with some initiatives in 2012 and we're excited about stepping into '13 well in advance of '14 changes and distribution.
Operator: We'll go next to Christine Arnold with Cowen and Company.
Christine Arnold - Cowen and Company, LLC, Research Division: A couple of quick follow-ups here. I estimate that the prior period development last year is $64 million. All guaranteed cost was worth about 620 basis points on a guaranteed cost-loss ratio. Was all the prior period development that you reported in the fourth quarter this year in the guaranteed cost line?
Ralph J. Nicoletti: I missed the back part of your question. Was all the ...
Christine Arnold - Cowen and Company, LLC, Research Division: Was all the prior period development this quarter, the 20 -- I think it was an $24 million, was all that in guaranteed costs?
Ralph J. Nicoletti: No, only a portion of it. Only a portion of it was. I think around $8 million or so.
Christine Arnold - Cowen and Company, LLC, Research Division: So $8 million guaranteed costs. Where was the rest?
Ralph J. Nicoletti: On our experience rated side.
Christine Arnold - Cowen and Company, LLC, Research Division: Experience rate was the rest. Okay. And then, why is Vanbreda not growing earnings in 2012?
David M. Cordani: Christine, it's David. Relative to Vanbreda, first off, for 2011, the earnings contribution from Vanbreda in 2011 was a bit higher than our expectations. A little bit of that was some internalization of the underwriting margins a bit ahead of plan for '11 versus '12. Some of it was expenses. Some of it was new business growth. Looking into 2012, the '11 base is a little higher, but at end of the day, the 2012 number is lower than our original 2012 expectations. Really 2 forces, competitive pricing environment in the global landscape relative to that sub-segment is elevated, and we're maintaining our pricing discipline. So less business. Secondly, the rate and pace of internalization of some of the underwriting margins are lower or less than what we had planned for 2012. So net-net, better in 2011, less in 2012. As Ralph mentioned, strategically, we still feel good about the outset, and with that movement in 2012, which we'll note with our International guidance, we're still expecting to grow the International earnings in the 20% to 30% range in 2012, which we think is an outstanding result.
Operator: We go next to Charles Boorady, Crédit Suisse.
Charles Andrew Boorady - Crédit Suisse AG, Research Division: Two questions, first. If you can peel back the onion on the 2011 full year cost trend, and what you saw for utilization versus unit cost increases for inpatient, outpatient and pharmacy?
David M. Cordani: Charles, David. I'll just give you the macro, and ask Ralph to give you the pieces. At the end of the day when you think about the 2011 trend, you should think about the vast majority of that 5 percentage unit. So at the headline, you think about the vast majority of that is unit costs. As it relates to the components, you'd expect to see the facility side of it to be higher than the professional side. Ralph has a few other pieces to highlight for you.
Ralph J. Nicoletti: Sure. What we're seeing on the couple of the components here, on inpatient, mid- to high-single digits, outpatient, more mid-single-digit level, pharmacy come in the 3% range. Those are the trends that we see that makeup, in total the 5%.
Charles Andrew Boorady - Crédit Suisse AG, Research Division: Okay, and in terms of inpatient-outpatient, do you have generally the utilization component recognizing the vast majority as unit cost?
David M. Cordani: As I noted before, Charles, think about utilization as essentially de minimis.
Charles Andrew Boorady - Crédit Suisse AG, Research Division: Okay, for both in and out?
Ralph J. Nicoletti: Correct. Yes.
Charles Andrew Boorady - Crédit Suisse AG, Research Division: Okay, great. And then, for cash at the parent in 2012, can you just step us through where it sat at the end of 2011? And how much deployable cash you think you have in 2012, including any excess statutory capital post the HS acquisition that you might be able to dividend up to the parent?
Ralph J. Nicoletti: Sure. Charles, it's Ralph. I was feeling great about our position as we exit the year, significant amount of cash on hand. We expect -- as I mentioned in my remarks, subsidiary dividends at about $1.3 billion. And then included in our plans would be to continue to fund our pension plan well above the minimum requirements and continue to do that, as well as when you look at other net sources and uses, we would expect to have just a little less than $1 billion of available cash. We'd like to keep about half of that, sort of conservatively for flexibility, held at the parent. And that means the other half, we would be looking to redeploy. The other thing I would add to that is with that type of plan, we will be making a meaningful step down in our leverage ratio based on the earnings contribution from the business. And frankly, we have a little bit of flexibility there, too, in terms of the timing of that. So that gives us some additional capability. But all in, our expectation will be a little less than $1 billion at the parent at the end of the year, and about half of that, clearly deployable, and then we have some flexibility beyond that.
Operator: We'll go next to Carl McDonald with Citigroup.
Carl R. McDonald - Citigroup Inc, Research Division: If I look at your Other and Corporate segments, it looks like you lost $85 million in 2011. You've got that going to a loss of $185 million in 2012. $55 million of that I get from the increased interest expense. Is there any other major item to single out there? Or is that just the usual cushion that the put into the guidance?
Ralph J. Nicoletti: Yes, I think you're looking at it pretty correctly. There's the interest piece in there, and then it is a plan, and we have no specific area designated for the balance that you point out.
Carl R. McDonald - Citigroup Inc, Research Division: Okay, and then just a follow-up question on the amortization. In response to the earlier question, did you say that amortization will be down 10% to 15% per year for the next few years? Or pretty stable at that 45% hit and then, let's say, 3 years out, it falls 10% to 15%.
Ralph J. Nicoletti: More sequentially, Carl. So each year for the next few years about 10% to 15% lower. Carl, just one other item though, just remember there's another month in 2013, so it will even be in the lower end of the range next year, but then more at the higher end of the range sequentially after that.
Operator: We will go next to Dave Windley, Jefferies & Company.
David H. Windley - Jefferies & Company, Inc., Research Division: I wanted to ask a follow-up to Justin's earlier questions about your investments. And focusing in on International, I guess what I'm interested in, David, is philosophically do you see the International business at some point being able to grow bottom line faster than top line? And are you making those investments today so that, that can happen in the future when maybe the revenue growth is not so robust?
David M. Cordani: I appreciate it. First, when you think about that business, think about the 2 major drivers of that business today, are the Individual business where we target the emerging and growing middle class in the emerging markets, and then the globally mobile business. Both of those businesses have inherent tailwinds behind them in terms of just secular growth. And the underlying business strategy for International that we've been consistent around is that it is a growth business and it is a top line growth story. We've -- as we articulated, our 10% to 13% EPS growth for the corporation, we did not embed, I'll call it, margin expansion that would generate what you said. So what you said is you'd grow the bottom line faster than the top line. The exciting part of this business is we see over the strategic horizon, the ability to achieve top line growth rates, high teens and potentially beyond, as we've demonstrated over the recent past. We're making investments to make sure we're in position because product innovation and geographic expansion is a key enabler to us. As the market moves and changes, if you take your hypothesis that we don't see unfolding over the next 3 or 4 years, if the market -- a certain of our markets mature a little bit more, yes, we have markets in our portfolio, we're the bottom line grows faster than the top line, but the portfolio in total, you're going to see more of the top line and bottom line either grow in-line, or it's slightly different if we're making growth investments.
David H. Windley - Jefferies & Company, Inc., Research Division: Okay, and then on the Vanbreda piece in particular, was the slower level or lower level of internalization that you're commenting on for 2012, is that opportunity lost or opportunity delayed?
David M. Cordani: It's -- I appreciate the question. Broadly speaking, it's opportunity delayed, right? It's a -- there's a market environment out there. There's a pretty differentiated value proposition. There is purchasing cycles that IGOs and NGOs have. And as you go through those purchasing cycles, as you might imagine, just like other business, the larger entities have longer-duration purchasing cycles, the smaller entities have shorter-duration purchasing cycles. So that's wherein both Ralph's comments and my comments. We still feel good about this capability and positioning strategically. So we view it as more opportunity-delayed as we manage the portfolio in total.
Ralph J. Nicoletti: I guess the other thing I'd add, too, we also stay disciplined on our pricing and underwriting, too, and I think that's very important. And so we're not just kind of going after revenue, but we're trying to strike the right balance there, too. So I think the team there has put some good discipline in place, too, as we work through this.
Operator: We go next to Kevin Fischbeck, Banc of America Merrill Lynch.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: I wanted to ask a couple of questions on the HealthSpring contribution and just how that compares to the S-4 that was filed with the merger. I mean, I see a little bit of math here, but it looks like, if you adjust for the DNA and interest expense that according to the S-4, they were looking for something closer to 210 versus the 160 to 180 that you're including in guidance, and that their MLR target was 80.7, but you're assuming something much higher than that. So can you talk a little bit about what that delta is?
Ralph J. Nicoletti: Yes, our guidance for '12 is consistent with the performance and the expectations that we put in the valuation. As I put it in our remarks, and the very significant accretion, I think there's some trickiness in trying to reconcile the guidance to what is ultimately there for a few different reasons. One, on a tax, before tax, after-tax basis, you have to add back the amortization, the additional month, and there's a lot of moving pieces within there, and there is a little bit of the integration cost included that you wouldn't have seen in the -- that you wouldn't have seen in that projection that was in the proxy. So when you put those pieces together, we're pretty close to where that is and we're spot on to where we were in our valuation.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Yes, and then if I might ask Herb to just expand a little bit in terms of how you feel about the quality of the business. We're stepping out of the fourth quarter and into the first quarter, knowing the volume, the sales, the quality, and the loan [ph] loss ratio, et cetera. Herb, you'd want to expand on that?
Herbert A. Fritch: No, we feel pretty good there. Everything is pretty much right in line with our growth expectations. Our medical loss ratios have been very consistent and favorable with the positive trends we've seen. And I comment, the one clarification on the loss ratio is really adding in the Phoenix Cigna business that ran at a little higher loss ratio. So it really isn't a deterioration in the legacy HealthSpring business.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay, that's very helpful. And then just maybe, just one follow-up there, just on this opportunity you keep talking about for revenue growth next year within combining Cigna and HealthSpring. How quickly can you add new geographies? Are you going to be able to do that in a meaningful way for the 2013 season? Or with the deal just closing, integration going on, is it going to be difficult to do that and that's maybe more of a 2014 opportunity?
David M. Cordani: Kevin, you think about it in a couple of steps. Herb's business model has done a nice job of being able to, I'll say, expand to related geographies. So just think about counties expanding off of the existing geographies. We'll push hard on that in collaborating with Herb and his team to drive some acceleration. The work as you might imagine is already underway to figure out the additional geographies. And it's an open question in terms of the rate and pace in terms of how fast we'll be able to step into those in '13. '14 for sure, and the heavy lifting work is being done right now from a sequencing standpoint between the new geographies for MA and the existing geographies to drive the commercial business into.
Operator: We go next to Peter Costa with Wells Fargo Securities.
Peter H. Costa - Wells Fargo Securities, LLC, Research Division: I'd like to get a better understanding of the International margins, if you would, in terms of things causing pressure on it this quarter. Yes, you talked about the favorable third quarter reserve studies. I don't really recall what that was. Perhaps, you could refresh me in what it was, the favorable reserve studies' impact on margins in the third quarter? And then how much of the impact on margins is related to sort of the shorter term things of near-term spending versus some of the cost streamlining?
Ralph J. Nicoletti: Sure, Peter, it's Ralph. A couple of pieces in here, when you look at the sequential flow of the International earnings, the reserve studies -- actually, several of them across different geographies, actually in the year ago, while we're in the fourth quarter this year, they were completed in the third quarter, and we recognize them. Think about in around the $5 million after-tax range as an impact. The other thing that we did point out, which is a one -- it's an item for -- that happened in the fourth quarter and will recur in '12, is that the tax rate in Korea did not decline. It was expected to decline and then there was a rule from the government there that they would not decline it from 24% to 22%. We had to recognize that in full in our fourth quarter this year for the deferred tax liabilities that we had. So you had an outside impact in the fourth quarter of '11, which will carry about the same level of impact in 2012. And then, the other areas are on the staging of the market expansions particularly in India and Turkey, as well as some costs to streamline operations throughout the International areas, no one area in a significant way. So when you put all those together, that's -- those are the drivers of the change. I think when you step back then from it, I don't think you should feel really any different about our margins and how we talked about those being in the higher single digit area over time. But quarter-to-quarter, they're going to bounce around a little bit because of these kinds of things.
Peter H. Costa - Wells Fargo Securities, LLC, Research Division: And yet you're projecting sort of a mid-single-digit number. Is that because of DAP charge, so that's separate from what you were talking about before, in terms of margins? So your margins will have to be lower than the higher single-digit?
Ralph J. Nicoletti: You're right, the DAP piece does have a couple of hundred basis-point impact on margins. No impact to cash flow, no impact to returns.
Peter H. Costa - Wells Fargo Securities, LLC, Research Division: But the real margin would be more of a mid-single digit number going forward? And then in terms of the competitive pressure that you felt in Vanbreda, did you find that in some of your existing businesses as well, like in particularly in South Korea?
David M. Cordani: We did not -- it's David, we did not -- the Korean business retention rates were outstanding in 2011, new business growth and product innovation. And think about Korea -- predominantly, when we talk about Korea, think about that as the individual Health, Life and Accident portfolio. Now we service expats in Korea, of course, but with bulk of the earnings driver when we talk about Korea is the individual Health, Life and Accident business. As opposed to Vanbreda, think about expats largely IGO, intergovernment organizations. But we did not see any impact to speak of in Korea.
Operator: Our last question will come from Chris Rigg, Susquehanna.
Christian Rigg - Susquehanna Financial Group, LLLP, Research Division: Just one last big picture question for you guys. Sort of the topic of the day in the investment community is the dual eligible opportunity. Obviously, you guys have brought on substantial Medicare assets with HealthSpring. I really don't have much positioning in the Medicaid side. I guess, can you comment on, what -- if you actually view the dual eligibles as an opportunity for you guys, and if you do, what you might be able to do over the near-term to improve your positioning to benefit from the potential expansion of managed care into that segment?
David M. Cordani: It's David. I'll start and I'll ask Herb to expand based on his experience and insights. From a strategy standpoint, we've been very consistent. We viewed in the U.S., our #1 priority in terms of inorganic expansion was in the Medicare space, and we took our time obviously, because we want to find an asset, we thought that had really differentiated capabilities. And we found that with HealthSpring in terms of the clinical capabilities. As we've talked about in the past, we said, off of Medicare asset that has differentiated clinical and physician engagement capabilities, we saw the opportunity on a targeted basis to pursue Medicaid. Using our Go Deep strategy, so market-by-market and specifically, looking at the ABD or dual populations. So we had that view for several years now. Clearly, there are some change in the marketplace due to budgetary constraints and pressures and seeing that the duals could benefit from a more comprehensively managed portfolio. The good news is within HealthSpring you have a proven capability to deliver an outstanding clinical quality, service quality and cost outcome for individuals, especially your higher medical costs or higher comorbidity population. And Herb has built an entrée into the Medicaid space as an initiation. Herb, if I could ask you to just expand on how you think about the dual population?
Herbert A. Fritch: First, we certainly have a whole -- we've dual snaps in all of our geographies today. We serve a lot of the duals from a federal perspective in terms of the benefits that they cover. We are looking to expand come, as David said, I think our clinical models work exceptionally well with that population. In March, we'll start -- as one of the dual eligible star-plus [ph] providers in the Rio Grande Valley of Texas, should give us about 20,000 to 30,000 new lives there. And we're bidding on at least one other state that's opening up the duals now. So we're hopeful that this is a real growth opportunity for us. Some states are considering, I think going through their current Medicaid contractors and when we're going to see if there's a way to -- partner or get in with those states, too. But there are other states that are bidding them out separately, where that happens, I think we're clearly well positioned to deal with that.
Operator: And I'd like to turn the call back to Mr. David Cordani for any closing comments.
David M. Cordani: Just briefly, I want to thank you for your questions today and your continued interest in Cigna. And in closing, just to emphasize a few points from our discussion. One, I'm pleased with the continued progress we are having in executing our strategy and just highlight that our results reflect the dedication and commitment of our 30,000-plus colleagues around the world who work tirelessly to improve the health, well-being and sense of security of our customers. The milestones that we've reached and the steps that we're targeted to take in 2012 and beyond, position us for a very strong top line and bottom line growth, specifically in our highly-focused U.S. commercial business, our International business and our Seniors and Medicare business here in the United States. We view that our 2012 outlook represents a competitively attractive result and we are positioned for long-term sustained growth. And finally, I'm confident in our ability to achieve our full year 2012 strategic financial and operating goals. We thank you for joining today's call and look forward to our future discussions.
Operator: Ladies and gentlemen, this concludes Cigna's Fourth Quarter 2011 Results Review. Cigna Investor Relations will be available to respond to additional questions shortly. A recording of this conference will be available for 10 business days following this call. You may access the recorded conference by dialing toll-free (888) 203-1112 or area code (719) 457-0820. The passcode for the replay is 9043472. Thank you for participating. We will now disconnect.